Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies Fourth Quarter Fiscal 2021 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded February 24, 2021. I would like to turn the conference call over to Mr. Ernie Herrman, Chief Executive Officer and President of the TJX Companies, Inc. Please go ahead, sir.
Ernie Herrman: Thank you, Sheila. Before we begin, Deb has some opening comments.
Debra McConnell: Thank you, Ernie, and good morning. The forward-looking statements we make today about the company’s results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company’s plans to vary materially. These risks are discussed in the company’s SEC filings, including without limitation the Form 10-K filed March 27, 2020, and the Form 10-Q filed December 1, 2020. Further, these comments and the Q&A that follows are copyrighted today by the TJX Companies, Inc. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of the United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third-party, we take no responsibility for inaccuracies that may appear on that transcript. Thank you. And now I’ll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Deb on the call is Scott Goldenberg. I’d like to start our call today by expressing our sincere gratitude to all of our associates for their hard work and dedication in 2020. Together, our organization has successfully accomplished many monumental tasks in the most uncertain environment we have ever faced as a company. I am so proud of the efforts of our global teams who have worked as one TJX to operate the business in this environment, while prioritizing the health and safety of our associates and of our customers. I want to give special recognition to our store, distribution center and fulfillment center associates. We are truly grateful for their commitment to our business and to our associate and customer safety protocols. In recognition of their efforts, including physically coming into work in the fourth quarter, we awarded a majority of them an appreciation bonus, which is the third appreciation bonus that we have paid during the pandemic. We will continue to look for opportunities, future opportunities to recognize associates for their important contributions to the business. As we continue to manage through the global pandemic, we are thinking of everyone who has been impacted by COVID, including our associates and their families, our customers and our communities. Also, our hearts are with the people in Texas and other parts of the U.S. who have endured so much due to the severe weather this month. Looking ahead, as the power and water situation improves in Texas and other areas, and the rollout of vaccines is more widespread in the coming months, we are hopeful and optimistic about the future. Turning to our business operations. During the fourth quarter, we were very pleased that our U.S. stores were generally able to stay open. However, at certain times during the quarter, we had to temporarily close all our stores in Europe and a majority of our Canadian stores. In total, Europe was closed for almost two-thirds of the quarter and Canada for about one-third of the quarter. As we reopened some of these European and Canadian stores over the past couple of weeks, we were encouraged by consumers’ enthusiastic response, some of what we saw last summer when we began our reopening. We are following government mandates in our regions and at this time approximately 690 stores remain temporarily closed. Currently the vast majority of these closures are still in Europe, where we expect shutdowns to remain in place for a significant portion of the first quarter. Okay, moving to a recap of our fourth quarter results. First, I am very pleased that our overall open-only comp store sales have down 3% exceeded our plans. During the fourth quarter, we saw a continuation of strong sales trends in our home and beauty departments, as well as great customer response to our holiday gift assortments and values. I am particularly pleased with the terrific assortment of brands we offered at shoppers across all categories, which we believe was an important driver of our above plan sales. These comp sales also exceeded our plans across each of our divisions, including at HomeGoods, which once again, saw a double digit increase. While overall sales were down significantly due to the temporary closing of our stores for approximately 13% of the quarter, I want to emphasize that we are very encouraged by our fourth quarter overall open-only comp sales, which improved each month of the quarter and were positive in January. Despite operating during COVID surges with the headwinds of uncertain consumer behavior, occupancy constraints and social distancing protocols, we only had a small decline in sales at our stores that were permitted to be open. It was great to see many of our best customers enthusiastically returned to our stores. We believe this speaks to the resilience of the business in enduring appeal of our value proposition across all of our retail banners, regardless of the environment. All of this gives us great competence in our business over the long-term. We also believe our ongoing commitment to health and safety protocols, help customers feel comfortable visiting our stores throughout the quarter. We continue to receive positive feedback from our shoppers on our safe shopping experience. We believe this will remain an important factor for consumers when deciding where to shop, while COVID persists. Next, our merchandise margin was up. The buying environment remains excellent as we continue to see a terrific selection of inventory from both existing and new vendors. We are very pleased with the improved seasonality and mix of merchandise at our stores as our buying teams have done a great job, aggressively sourcing branded product across good, better and best categories. We achieved fourth quarter earnings per share of $0.27 and maintained our strong balance sheet and liquidity position, despite the overall sales decline. Further, we declared a quarterly dividend and refinanced some of our outstanding debt to lower our borrowing costs over the long-term. Scott will speak to all of these items in more detail in his financial update. As we entered 2021, significant uncertainty remains around COVID and its impact on consumer behavior, while many factors lean outside of our control, such as temporary store closings and customer shopping habits. We are very confident about the areas that we can control, including buying, merchandising and store operations. Despite the near-term uncertainty, we have grown more optimistic about the medium and long-term with the news of multiple effective COVID vaccines. I am convinced that our business will rebound and will capture market share once we are past this health crisis. Let me highlight some of the actions we took in 2020 that we believe set us up for success going forward. First, we have strengthened our relationships with many of our existing vendors. With all the uncertainty in the retail landscape, some vendors have looked to us to buy even more of their inventory. We have also had opportunities to buy goods across an even wider range of product categories. In 2020, our buyers opened thousands of new vendors across good, better and best brands and sourced from a universe of approximately 21,000 vendors around the world. We believe all of this puts us in an excellent position to keep offering consumers an eclectic mix of branded merchandise at amazing values. Second, we’re prepared to take advantage of the terrific real estate availability that we are seeing across each of our geographies and continue our global store growth. With the increase in store closures by some other retailers, we are in an excellent position to open new stores in some of our target markets. Further, we see additional opportunities to relocate existing stores to more desirable locations, and to seek out more favorable terms when leases expire. Next, upon initially reopening our stores last summer, we focused on marketing on addressing safety concerns to build the confidence of our shoppers, while highlighting value and the hotter trending categories. In the fourth quarter, we also emphasize gifting. In 2021, we plan to launch bold new campaigns for each banner that reinforce our value leadership will also highlight the elements of discovery, variety and quality, which are all major strengths for us. Lastly, we prioritized investments in our associates stores, supply chain and systems to strengthen our infrastructure and support our future growth plans. Scott will outline our 2021 capital plans shortly. Looking beyond the health crisis, we are confident that more consumers will be drawn to our stores once they are back to more normalized routines and shopping habits. I’d like to walk through the reasons why we believe we are strongly positioned to capture market share in the future. First, we are confident that our relentless focus on value and quality will be as important as ever for shoppers beyond the health crisis. Second, we are convinced that consumers will seek out store – our stores for our wide assortment of branded and fashionable merchandise. We see our excellent selection of brands and our global buying organization as key differentiators for our business. Further, we believe that brands we offer consumers will continue to be a major driver of incremental customer traffic and sales. We believe our flexible [indiscernible] buying will continue to be a tremendous advantage. Eventually consumers will be physically returning to work, socializing again and resuming travel. This is what we saw happening in Australia, where despite recent COVID shutdowns life had largely returned to normal during the fourth quarter and we saw strong sales trends return in our apparel business. Our buying organization is well-positioned to shift our spending in our other geographies to meet shoppers changing category needs once we move past this health crisis. Third, we are confident that the appeal of our treasure hunt shopping experience will resonate for people looking to be inspired and discover new products when they shop. We shipped to our store several times a week with new and different merchandise, so there was always something exciting for shoppers to see. With our rapidly changing store assortment, shoppers learned to buy something when they see it, because it may not be there the next time they visit. We believe that the entertainment element of our shopping experience will continue to be important. Customers tell us that part of the reason they shop us is for some stress relief, particularly during these times, and some “meantime”, which we expect to continue into the future. Next, we believe our convenience off-mall locations in urban, suburban and rural locations as an advantage as this allows us to reach a very wide customer demographic. In the U.S., roughly 80% of consumers are within 10 miles of one of our stores. This makes it very easy for shoppers to visit our stores. We expect to see incremental traffic once consumers return to their workplaces and go out more, as they will be passing by our stores much more frequently. We also see a great opportunity to capture share from other retailers that have shutdown completely or closed stores. We also believe this will lead to greater availability of inventory from both new and existing vendors. Lastly, we continue to aggressively pursue the significant opportunities we are seeing in the home category just as we have for decades. This includes increasing the HomeGoods divisions’ long-term target to 1,500 stores and our plans to launch e-commerce on homegoods.com later this year. Further, we have been increasing [Audio Dip] all of our banners to capture some of the incremental demand. In 2020, home accounted for almost 40% of our overall sales up from 33% in the prior year. Going forward, we are confident that the strength of our home buying teams at our global buying offices will allow us to keep bringing an eclectic mix of home merchandise at great value to our shoppers and capture additional market share. Before I close, I want to reiterate how great we feel about the long-term and our opportunity to drive sales post pandemic. At the same time, we are still facing several significant expense headwinds. Scott, we’ll discuss this in more detail, but the cost pressures that we had pre-COVID, including supply chain, wage and freight continue to persist and COVID has made each of them worse. Of course, we also continue to have significant COVID related costs. I want to emphasize that we are extremely focused on our top line opportunities that could help to ease some of these pressures. In closing, I am so proud of the resilience and dedication of our associates, who successfully navigated our company through an unprecedented environment in 2020. I also want to add that as an organization and management team, this has been such an important year in terms of our global corporate responsibility efforts. As COVID has been evolving differently in different parts of the world, we have continued to prioritize the health, safety and well-being of our associates and customers, along with the financial stability of the business. 2020 was also a critical year for our inclusion and diversity work, which includes our commitment to standing up for racial justice and equity. We’re committed to listening to and learning from our associates and taking actions to do better. I am confident as ever about the future of TJX. Longer term, we believe we have a tremendous opportunity to capture additional market share, even beyond the prospect of a resurgence in consumer spending and “revenge shopping”, once vaccines are widely available, longer term, we are convinced that our flexible off-price model has structural advantages with our entertaining and engaging treasure hunt shopping experience, differentiated assortment of branded merchandise and our excellent values. Our teams are energized and laser focused on capitalizing on the opportunities we see for our company. And I look forward to sharing our success going forward. Now I’ll turn the call over to Scott for a financial update, and then we’ll open it up for questions. Scott?
Scott Goldenberg: Thanks, Ernie, and good morning, everyone. I’d like to first echo Ernie’s comments and thank all of our global associates for their hard work and commitment in 2020 and continued efforts in 2021. I’ll start today with some additional details of our fourth quarter results. As Ernie mentioned, open-only comp store sales were down just 3%, despite the COVID related headwinds we faced. Average basket increased and was strong again, as customers responded favorably to our fresh seasonable mix and put more items in their carts. As to the cadence of comp sales, we saw improvement of each in – each month of the quarter with our Marmaxx, HomeGoods and TJX Canada divisions all achieving positive open-only comp sales in January. At Marmaxx, our largest division customer traffic in the fourth quarter was better than the third quarter and also improved each month of the quarter. As to overall sales, the decline was primarily due to the temporary closures of some of our stores. These closures were primarily in Europe, which was closed for 63% of the quarter, including essentially all of January. And in Canada, which was closed for 32% of the quarter. Overall stores were closed for approximately 13% of the fourth quarter. Fourth quarter merchandise margin was up versus the prior year. This was driven by strong mark on and a benefit from the timing of a shrink accrual. These benefits were partially offset by higher freight costs, as well as higher markdowns as a result of the store closures in Europe and Canada. Moving to the bottom line, fourth quarter earnings per share were $0.27, which included a debt extinguishment charge of $312 million or $0.18 per share. Earnings per share also included a negative impact of $0.05 from our tax rate, which was significantly higher than last year. This was due to the company moving to a year-to-date net income position in the fourth quarter and the related impact of the jurisdictional mix of profits and losses. Further as detailed in our press release this morning, we believe the temporary store closures in Europe and Canada during the fourth quarter negatively impacted sales by approximately $950 million to $1.05 billion resulting in a significant loss of profit dollars and about $0.18 to $0.21 of earnings per share. I want to also remind you that our EPS reflects significant cost headwinds in the fourth quarter, which more than offset some of our temporary expense savings. Let me take a moment to go through a couple of the larger ones. First, our net costs related to COVID accounted for approximately $300 million of incremental expense. These costs include extra payroll to clean the store and monitor occupancy levels, payroll for some store associates that we kept active to support the business while stores were temporary closed, the cost of PP&E and the fourth quarter appreciation bonus for certain associates. The increase in our costs versus the third quarter included extra payroll as our stores were open longer hours, partially offset by increased government relief due to the European and Canadian store closures. Second, we had increased supply chain costs. This was due to a lower average ticket and processing more units, as our merchandise mix continued to shift to a non-apparel categories, expenses related to additional distribution capacity and wage increases at our distribution facilities. As for inventory, our teams are doing a great job, procuring merchandise and adjusting logistics to get it to a distribution facilities and stores. As a result, our store inventory position is close to where we want it to be. To reiterate, availability of merchandise in the marketplace is excellent. Now I’d like to walk through our cash flow and liquidity. First, we generated $4.6 billion of operating cash flow in fiscal 2021. As a result, we ended the fourth quarter in a very strong liquidity position with $10.5 billion in cash. Next, we declared a quarterly dividend of $0.26 per share in the fourth quarter. In the first quarter of fiscal 2022, we’re planning to declare a dividend at the same rate subject to Board approval. Lastly, in the fourth quarter, we significantly lowered our borrowing costs by reducing our higher interest rate, longer dated bonds, through a cash tender offer and issuing lower interest rate bonds. The net result of these actions will lower our interest expense by approximately $32 million per year. Now I’ll spend a moment on fiscal 2022. As we said in our press release this morning, we are not providing a financial outlook for fiscal 2022 because of the continued uncertainty of the environment due to COVID. As a point of reference, overall open-only comp store sales trends for the first three weeks of the first quarter were better than in the fourth quarter, despite the unfavorable one in the United States. In the periods before and after the unfavorable weather, overall comp sales were positive. In terms of fiscal 2022 profitability, we expect pre-tax margins to be higher than fiscal 2021, but to deleverage significantly versus our pre-COVID levels. This is due to a number of known headwinds that we’ve discussed many times before. As a reminder, these include the following. First, we continue to have the net costs related to COVID. In the first quarter, we are currently planning $225 million of net expense. At this time, we do not know or by how much these costs may moderate beyond the first quarter, as a reminder, most of these costs are in SG&A. Second, based on what we know today, we expect temporary store closures will negatively impact overall first quarter sales by approximately $750 million to $850 million and will result in some level of margin deleverage. This includes our stores that are currently closed in Europe and the majority of our Canadian stores that are currently closed or have been closed during the first quarter. Based on what we know today, overall, we expect stores to be closed for approximately 11% of the first quarter, which includes Europe being closed for an estimated 67% of the quarter. These expectations could be negatively impacted further, if current mandates are extended or new ones are put in place. Next, as Ernie mentioned, the headwinds of freight, wage and supply chain that existed pre-pandemic have not gone away. In fact, each of them has gotten worse in the current environment. On freight specifically, we continue to see capacity constraints and driver shortages, which has led to higher rates. We’re also experiencing incremental freight costs due to our lower average ticket and moving more units through our supply chain. All that said, we remain laser focused on looking for expense savings throughout the business. We may also have an opportunity to offset some of these headwinds over the long-term, if we successfully drive outside sale increases in market share gains or see demand improve for the higher ticket categories. Additionally, if then buying environment stays beneficial, we could capture additional merchandise margin. Moving on, we expect capital expenditures to be in the range of $1.2 billion to $1.4 billion in fiscal 2022. This includes opening new stores, remodels, and relocations and investments in our distribution network and infrastructure. For new stores, we plan to add 122 net new stores, which would bring our year-end total close to 4,700 stores. This would represent a store growth of about 3%. In the U.S., our plans call for us to add about 30 net stores at Marmaxx, 34 net stores at HomeGoods and 12 Sierra stores. In Canada, we plan to add about 22 net stores and in TJX International, we plan to open up approximately 15 stores in Europe and 9 stores in Australia. As to our long-term store growth opportunity, we now see the potential to grow to 60 to 75 stores globally. In addition to the increasing HomeGoods by a 100 stores, we’ve also increased the store potential for Canada and Australia. In closing, to reiterate what Ernie said, we feel great about the strength of our business. In general, the stores that are opened are performing well, despite the numerous COVID related headwinds. Additionally, we are in a very strong financial position, which allows us to continue investing in our business to support our growth plans. All of this gives us great confidence that we will continue to successfully navigate this environment and be a stronger company, when we are past the pandemic. Now, we’re happy to take your questions. As we do every quarter, we’re going to ask you that you please let me your questions to one per person and one part to each question. [Operator Instructions] Thanks. And now we will open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Lorraine Hutchinson [Bank of America Merrill Lynch]. Your line is open.
Lorraine Hutchinson: Thanks. Good morning. We’ve heard a lot about difficulty getting home products through the ports and also some concern around a shortage of apparel receipts later on in the year as the economy reopens, can you just talk about the buying environment in a little more detail and your comfort in your ability to stock the stores with the inventory you need as demand comes back?
Ernie Herrman: Sure, Lorraine. Certainly, a question near and dear to my heart, as we talk about how we buy the goods and how we stock the stores, as you said, in terms of the demands by category, really since the beginning, when COVID – if you remember back, and I know we spoke back when COVID first hit and we could see our home business and some of our other trending categories were going to clearly trend differently than apparel, for example. So we were able to adjust as you could hear what we said in the script, how big our home business has actually gotten to over the last six months, we were able to adjust the mix in our stores very appropriately to that because our model is very flexible, right? So we’re able to do – and supply has been plentiful even though, there were little snippets of time when it wasn’t so easy to get exactly what we want. For the most part, we got the categories that we wanted. When you ask about apparel, I don’t think we weren’t trying to communicate that we weren’t able to get it. So apparel is pretty plentiful on the market. It’s just not the consumer demand isn’t there as great as it has been, I would say would be the way to put it. Having said that, I mentioned Australia where the environment is more normal and almost is the least COVID impacted a market that we’re in. Their apparel business has been very healthy. So we are predicting and there won’t be an availability issue that as we start to go through this year, we’re feeling that apparel specifically second quarter into summer as the vaccine rollout becomes more widespread and people start to circulate out there more. I and the teams are anticipating a surge in apparel. Certainly, quite not every department, but a pretty big surge from where we’d been harboring and probably gaining back a little bit more of the share within our store. No availability problem, Lorraine, as we’re sourcing across all the categories. And in fact as I always say to all of you, we have to really control our merchants from buying too much. Specifically, I would say, apparel has been where we’ve really had to slowdown of recent only because the trend isn’t what it is in some of the other areas. Everything has been improving quarter-by-quarter. So if you look at Marmaxx, our business and when you talk apparel, I think domestically here, because obviously our Europe business was kind of shut in the fourth quarter. I can’t give you as much detail there. But if you look at Marmaxx, we improved from a minus 10 in the third quarter to a minus seven in the fourth quarter, and then each month got progressively better in the fourth quarter for Marmaxx and barring the whether we’re starting the year off improved from where we were in the preceding months in the fourth quarter. So hopefully that helps you.
Lorraine Hutchinson: Thank you.
Operator: Thank you. Our next question will come from Matthew Boss [JPMorgan]. Your line is open.
Matthew Boss: Great, thanks and congrats on the progress. Ernie, maybe to dig into your comp improvement, despite that continued COVID restrictions and your model having little e-commerce, could you help elaborate on your comments around expansion of vendor relationships coming out of the crisis and also speak to any offensive initiative that you are taking to capture what others in the sector have quoted as potentially more than $10 billion of potential sector market share that could be up for grabs coming out of this pandemic?
Ernie Herrman: Yes. Matt, great question. We talked about this stuff all the time. So on that – what’s been helping us with our comp improvement is a little what I was talking to Lorraine about. So our merchants have really done a great job and shifting their – we shift – first of all, we shifted buyers around, some merchants around, in certain areas to go after the healthier and trending categories. What’s interesting is at the beginning of the pandemic, when the market was an upheaval we took a very, I would call it, very forthright approach with all of our vendor community, and they knew how important we were then. But I think what’s happened and I think this is where we’re getting to the second part of your question on the expansion of the vendor relationships to help us. We talked about the 21,000 vendors that we’re dealing with. We’ve been opening up a few thousand additional vendors, but there’s always vendors falling off because we stopped buying certain categories, or unfortunately in the pandemic, you’ve had some other vendors kind of falling off to the side, as you can imagine. But we are meaning more to, I would say, the more branded vendor community across the board. And so if you listened to the script we made a conscious effort. I made a conscious effort to really highlight that one of the key differentiators of TJX. And I think this applies from us against other retailers maybe against other off price formats is our focus on brands is really second to none. So we and if you look back at my script, I mentioned across good, better and best. So we have had all of our teams on a mission to continue to open more brands, always continuing to do that because you get more newness that way, and you get more excitement in the mix. And then that combined with the market share that’s out that you mentioned the $10 billion up for grabs. I think the way to do it as some of the other – think of the retailers who have struggled during this, it’s not your essential retailers, right? It’s not that people, customers really need to go to right now, very task-based missions that they have to go on. It’s really the more impulse or more fashion driven. In our case, we’re an impulse-driven retailer and you can’t ask for a better situation for us to have more brands in the future, because we mean more to those brands and the fact that when consumers start to get more comfortable, they want to shop our entertainment. It’s a perfect storm. And I just think the expression I would like to use right now, we’re feeling is a tiger by the tail and the business here, meaning once things start to open up and the consumer goes back to normalcy, I just think we’re really going to be in a strong position that continue to improve, which we – as you can see from the sales we’ve been doing every quarter. So a great question. It’s really at a high-level, one of the most important aspects of our strong strategy medium-term and long-term.
Matthew Boss: Nice to hear. Best of luck.
Operator: Our next question will come from Paul Lejuez [Citi]. Your line is open.
Paul Lejuez: Thanks, guys. Two quick ones and then one high level, Scott, maybe can you just quantify the shrink benefit during the quarter also on the payables inventory ratio, inventory down, payables up, just curious how long that might continue that relationship? And just higher level, just given all the changes that have occurred in F 2020 from a cost perspective and any way you could frame for us, what the EBIT margin would look like if you were to return to F 2019 sales levels whether that be an F 2021 or F 2022. Thanks.
Scott Goldenberg: Well, on quickly not address unfortunately the last one, we – at this point, we’re not giving guidance in terms of, a lot will depend on just as you can see, right, what we’ve had in the fourth quarter, in the first quarter with a significant number of store closures, how much we going to have for COVID costs. I think we need a little more time and there are any public address fits as we move forward on terms of how much of the mix switches back to apparel, which will then help us both on the average retail, freight, some of the other productivity measures. I think there’s a lot of uncertainty, although we think we’ll be getting, it will have a first half, second half impact. In terms of freight costs, certainly spiked as we moved from the third quarter to fourth quarter, we will likely remain high at least on a TYLY basis as we move through the first half of the year. And we would hope due to things that we’re going to be doing and market conditions be moderating, but we don’t know where that’s going to level off. And that does relate a little to the mix of the merchandise as well. We’ve been buying very good and the other thing, Ernie, I think, will touch on what level we’ll be able to maintain and extend on that is to be determined. Also in certain things, we’ve had very good markdown performance, but as we’ve been chasing inventory at a very high level, particularly at HomeGoods. So again, I think that big cost pressures are going to be the ones that we’ve had in the past, where we’ve now had two years of deleverage on due to wages, supply chain costs, DC wages, opening up a bit, we’re opening a couple of facilities this year. But a lot will depend on when we get back to our sales because we still have to recapture a lot of the sales that we lost last year and get to the level and get back and hopefully surpass where we were going to be. So a lot of uncertainty of when we’re going to get, we know – we feel comfortable, we’re going to get back to sales, but is it going to be in the back half of this year? Is it going to be over a little longer period of time? So putting all that, it’s just too early to give – to be giving a number. In terms of the fourth quarter, what we’re seeing is that the shrink number was really just a time. Our shrink came in slightly lower than our last year number, but we had – we thought early on with COVID with all the closing and opening of the stores, the movement of merchandise that we had accrued for higher levels in the second and third quarter. And it came in better than what we thought. But that was offset by our freight. When you net-net look at all the ins and outs, we also had to accrue for additional markdowns this quarter, due to the Europe and Canadian closures that overall our merchandise margin, when you strip it all away was still up in the – let’s call it in that 30 basis points range for the quarter after all of the ins and outs. And again, that largely be determined on how we do on our mark-on and markdowns for next year, whether we can continue that.
Paul Lejuez: Got it. Thanks, Scott. Good luck guys.
Operator: Thank you. Next we’ll hear from Kimberly Greenberger [Morgan Stanley]. You may proceed.
Kimberly Greenberger: Okay, great. Thank you so much. I wanted to ask Ernie about two comments that you made in your prepared remarks. You mentioned that you’re seeing a lot of real estate opportunities and in particular, both opportunities for new stores and relocations. I’m wondering if you can share any sort of preliminary information on what kind of changes in rent rates you’re seeing on those new leases and maybe give us some examples of what would be the factors that would motivate you to relocate a store, just so we can think forward about the real estate strategy. And then I think you mentioned that inventory in-store is close to where you want it to be. I’m assuming not every category is alike, and if you can just give us some feel for where you feel like there’s more inventory available than really you would like in the stores right now and where maybe inventory levels are a little tighter. Thanks so much.
Ernie Herrman: Sure. Kimberly, what I’ll do is, let me just comment on the real estate quickly, and I’m going to turn over some of the when you were asking about the rate on the leases, I’ll turn it over to Scott. But when we look at for the opportunities in the business, we do want to get back to even things such as remodels because our – one other things, we’ve seen over the years is our shopping experience is comprises many things. Certainly, the merchandise is number one. But our consumers have come to appreciate the environment they’re in as well as the shopping center. So when you ask about a relocation sometimes we aren’t in the most happening shopping center. And many – we have found that some of our best uses of capital have been relocation. So Scott will talk to all of that. At a high level, I would just say, it keeps us healthy and keeps our existing stores proceeding and staying up-to-date. So for the long-term health of TJX, it’s very important in every geography we’re in to keep spending appropriately. Obviously, we had curtailed that at the beginning of COVID, but Scott will talk to, why that’s important, and by the way, why we’re excited about opportunities. Inventory, where that falls across in the store, first of all, we don’t – I don’t give out information as far as where we are versus where we’d want to be. But I would just say that at the high level, the reason we’ve been very happy with where our sales have been proceeding. And you can tell what we did give is our home area, our beauty area which have grown in percentage which is where obviously that’s not a secret. Those areas are healthy in the world around us. We have been getting plenty of availability and where we would run into pockets of categories within those worlds. Our buyers have done a great job of shifting around and we buy in different ways. So sometimes they’re buying goods that are landing within a week or two, and sometimes they’re buying some goods that are landing of a couple months out. But we have overall, as you can see, we’ve been happier with our overall inventory levels. Scott and I have talked about that recently in terms of where we are with each division and in full TJX. From where we were, if you remember back in the third quarter, second quarter, the third quarter, we were in a major scramble mode which probably somewhat impacted our sales than versus the healthier open-only comps where we are now. We will run into some little pockets there, obviously, where we were calling missing some departments a little bit more, and we couldn’t get, by the way, some of that was really transportation of the goods. It wasn’t necessarily availability. So right now, I would tell you across the board availability pretty much in any way we want it. There’s more – definitely more apparel out there than we would want to use across most every category. So hopefully that gives you color in terms of where we’re headed. We’re just feeling really balanced on the way our inventory levels are right now heading into February and into March across every division. I mean, the only place that we are not happy is in Europe where we’re closed, because clearly we have inventory there and we can’t do anything in terms of selling it. Scott, do you want to…
Scott Goldenberg: Sure, going to capital and some of the things that you talked about on the new stores ramps, et cetera, I think overall the big picture is that, we’re starting to spend some of that, obviously, now that we’re in a position of strength on both the cash and on our balance sheet. We’re spending – we’re going to spend in $500 million to $700 million more in capital than we did last year and more than what we did even two years ago. I think we have an open to buy, to spend more capital as we move through the year as we would – if we see opportunities for. And we see how our business recovers for either new more real estate than the 122 I talked about and/or more remodels that Ernie talked about as something to be using our cash for from timing. We’re going to be doing what north of 350 remodels, I think last year we did several hundred remodels, less than what we had planned. So we would be viewing that over the next several years as we could be getting up even to 400 remodels a year or more to try to catch up and take advantage of that. Two, in terms of new stores, we would say, we’re not giving out a number, but it’s going to be – it will be more than the 122, probably at 150 plus for the next several years. I think there’s great opportunity with all the unfortunate disruption in retail, we are already starting to see in all of our geographies when we are signing leases in store closures that have already happened in the past year and we would do, it doesn’t happen overnight, but we would see that as a big opportunity for calendar 2022 and 2023 to get sites. I think part of – the bigger part of that is the quality of the sites without having to necessarily get them at rents that we would have paid just a year or two ago. So it’s not that it’s necessarily cheaper than our current cost base, but it would be cheaper than what we would have paid and probably locations that we otherwise would not been able to get. In Marmaxx division, particularly, but across all of our stores the relocations is an opportunity as we have hundreds of leases coming to renewal. And so we see a great opportunity to open again, to better real estate and potentially I think the number one thing is to have drive higher sales, but potentially even to keep our costs the same or lower. I think we’ve seen a fantastic opportunity in Europe in terms of cost reductions. A lot of it is the environment there is, as you can imagine, worse than it is here from a real estate with all the closures. And on a lot of our rent renewals we are seeing increases – decreases in terms of the overall costs that we have to pay north of 25% on a per store basis. So that’s a combination of either the capital that you’re going to get when we want to move into a store or the benefit we’re going to get, or just the actual reduction in the rent. So we’re seeing significant decreases there. We’re seeing decreases before, but not to the level that we’re currently seeing. We’re also seeing some phenomenal deals. So I’m not going to name the specific sites, but in the last couple of weeks, we’ve seen stores where we were paying $900,000 and rent go down to $600,000 or 500,000 to less than $200,000, just phenomenal decreases in renewals. And also even landlords who want us giving us, extended rent-free periods because we’re an anchor tenant in a strip and they very much want us to be there. So, yes, I think that’s a tremendous opportunity for us.
Kimberly Greenberger: All great color. Thanks so much.
Scott Goldenberg: Thank you.
Operator: Our next question will come from Janine Stichter [Jefferies]. Your line is open.
Janine Stichter: Hi. Thanks so much for taking my question and congrats on the momentum. I want to ask a bit about HomeGoods, the increase of the target there. I’m curious what went into it? How much of this was analysis you contemplated pre-COVID and how much is more the strength you’re seeing in home right now? And then maybe some color on where these new stores are. Are they in new markets, existing markets? And then just lastly, an update on Homesense. Thank you.
Ernie Herrman: Sure. All good, Janine. So we were already contemplating pre-COVID upping that target because our HomeGoods business has just been consistent. And by the way, I’ll just throw these together. You asked about Homesense since similarly was heading to a good place, but obviously when COVID has impacted us everything, the tide rose overall with both these businesses. And we’re just seeing as the world changes in lifestyle and focus even when the vaccines all hit, you’re still going to have a dynamic change around us, all in terms of how many people are spending more time still in the home environments and focused on that, regardless of whether there’s an x percent that goes back to work, of course there will be. They’ll be a majority going back to offices, but all you need is a small percent going the other way and with a focus on the environment of home. So yes, we just feel like there’s way more market opportunity as we move forward. If you look at the amount of home business being done online, and let’s go back to the market share mission here, we feel, and of course homegoods.com, which will be later in the year, we sell bats and operated take online business, but we feel our Homesense business specifically really pulls from categories that are significantly done online. We feel Homesense can really eat into that online business. And recently, anecdotally I’ve had friends that have bought goods at Homesense, and they’ve used our delivery service, which again, in many cases is a third-party. But you are trying the – for example, the sofa or the chair, you’re trying that actual sofa a chair there. And that is what shows up at your house within the next day or two. Again, we have same day delivery in many of those sites. And I think that is an interesting dynamic, which obviously the business is extremely healthy right now. But we feel like there’s just so much more upside. And as you can tell by the number we gave you as the percent of TJX, that home has been most recently the momentum is so strong to think otherwise that we wouldn’t continue to just grab more market share. So I hope that answers your question. We’re very bullish on. Scott, I think…
Scott Goldenberg: Yes. Just to brief address a little on Homesense. I think what we’ve seen – everything that we’ve seen in the overall home business, it has been a little, I’d say even up a notch on Homesense. So the comps are proportionally even higher at Homesense than they have been in the HomeGoods in the fourth quarter. Our retail has been – average retail has been strong. Our average basket’s been strong. And I think the operational folks where we may have talked about it for the first year or two, because it’s obviously a mix of business where the payroll and other aspects of it are a bit more challenging. They’ve done a great job of working through the – how to make that business more efficient. So our four wall profits on Homesense have increased substantially this year with our volumes. And it’s made us much more optimistic and we’re opening up five Homesense stores this year as well.
Ernie Herrman: It’s a great question. And Janine, the other thing is to Scott’s point, I give the teams a lot of credit because they’ve also managed to not, as we open the Homesense. With the Homesense’s surging, they’re not stealing the HomeGoods sales, as you can tell are still very healthy nearby. And I give our merchants and that management team, a lot of credit and the field there as well, and keeping the stores looking different and differentiated between Homesense and HomeGoods. So they start with having a great mix in both the teams have done a great job on that, but they’ve managed to do this in locations where they’re almost right next to each other. So really bodes well for the future.
Janine Stichter: Thanks. That’s helpful color. Best of luck.
Ernie Herrman: Thank you.
Operator: Thank you. Our next question will come from Michael Binetti [Credit Suisse]. Your line is open.
Michael Binetti: Hey guys. Thanks for taking all our questions here. Scott, just a simple question, with all the noise trying to model this, you guys mentioned significant deleverage in the model in this year relative to pre-pandemic. Is there anything – any color you can give us to what that mean? I know, if we look at the 10.6% margin in 2019, give us some thoughts on what a normalized comp would mean as far as how much headwind permit from freight from unit volumes going through wages, those kinds of things. Is there anything you can help us to contextualize that comment for this year?
Scott Goldenberg: Well, again, the biggest costs on this year will depend will be on the COVID costs. I mean, there’ll be significant as we talked in the first quarter and I’ll let Ernie address it. But it will be to be determined as we move through the – on the COVID costs.
Ernie Herrman: Yes. So Michael, on the COVID costs, what we want to do is not – we’re not going to go in with a notion ahead of it and have a preconceived notion as to when we’ll start pulling them out. As we see the vaccine set and the safety start to get aligned, we will start maybe in the back half, second quarter, we think little by little we’ll start pulling them down. Is that what you’re asking Scott?
Scott Goldenberg: Yes.
Ernie Herrman: So we’re feeling that definitely opportunity there to – we’ve looked at it as just so you know, up till now, it’s a sales driver for us and we’ve gotten on our customer, we do reports, we do surveys. We are getting huge credit on our level of service and safety impact by the greeters we’ve had at the front of the store. If you’ve been in our store, you’ll see that in most stores, we have two greeters they’re really cleaning the carts as well as welcoming asking, do you need help? Were they treated okay and safely? And so that’s had a huge impact, and I’m looking at that as a form of marketing to help us with our top line for the future. And so that is, we want to be very careful as we pull that back, because all the indicators are that has been a big help on our reputation during COVID. So very good questions.
Scott Goldenberg: So Michael, to get to your question, a lot of it goes back unfortunately to – to your point at the end of fiscal 2020, we were at $10.6 billion, all things being equal. And again, saying a lot right now, if we had guided to approximately 10.2 to 10.3 last year on a three comp, if you would had the similar level, the headwinds of supply chain wage, et cetera, you would have gone down 30 to 40 basis points for another year. So as we said, nothing’s really changed in terms of store wage. In terms of that the DC – the two components that are a bit larger right now are the DC supply chain and the DC wage, as we’ve had both in our HomeGoods and Marmaxx DCs wage increases this year, which are going to be analyzing for most of this year those impacts and significant freight, what would have been over fiscal 2020 the last results. So those will largely depend on what level of sales, because you have a natural delever on the sales until you got back and recapture those sales. So if the delever was 30 to 40, it’s clearly going to – it would clearly be significantly higher than that without the COVID cost. And then those, we would expect to start recapturing some of that as we get our sales levels up. So it’s – but that 10.6 would have been going down. And then on top of that is the deleverage of the sales and the higher freight and other supply chain costs.
Michael Binetti: Can I follow-up a quick model question. Would you mind helping us with what the change was in the corporate expense line in the fourth quarter, I noticed this quite different than…
Scott Goldenberg: Yes. There were some benefit – well, the biggest benefit, which was in effect at – thank you. It’s a good point. That’s not a necessarily a go – well, hopefully not a go-forward benefit was this year we did not have bonus accruals or incentive accruals up to the level. Last year, it’s actually – both went the wrong way. Last year, we had a very good end to the year and increased our incentive accruals in the fourth quarter. This year, we obviously are not meeting our plans. And so we had the incentive accruals go the other way. So it was a benefit of almost 90 basis points in the quarter. That’s obviously next year we would hope to have a normal level of bonus accruals. And so that’s the biggest difference. There was some – the rest of it’s just noise between fuel hedges and there was expense savings as a lot of companies maybe haven’t talked about it that much on metal costs and others as due to less people being sick that we had a benefit as well.
Michael Binetti: Thanks a lot guys.
Ernie Herrman: Thank you.
Operator: Thank you. The final question of the day comes from Adrienne Yih [Barclays]. Your line is open.
Adrienne Yih: Great. Thank you very much for taking my question. Ernie, this is a bit of a clarification on something that we’ve gotten for probably a couple of years. So as the global apparel brand manufacturers are reducing their footprint in off price, it sounds like you’re finding sort of more disparate newer fresher brands that are replacing those. So it’s making it an even better overall treasure hunt experience versus focused on this handful or a dozen of these historical brands. So is that clear, is that the right interpretation?
Ernie Herrman: Yes, it is. And I will tell you to go along with that, Adrienne. As we – it’s funny, you mentioned that now it’s one thing I thought I didn’t get to mention on one of the earlier questions. We are buying significantly more from our satellite buying offices this year, which actually speaks to a little about what you just asked because – probably because of availability around – it’s not always with the same vendors and maybe what’s going on with Europe. So we have satellite offices, we have offices in Italy and in Europe and in the Far East and California. And so we we’ve had a disproportionate growth in purchases from those offices recently relative to our total during COVID. I mean, the good news in the vendor, this is not unusual when we – specifically in the home business, Adrienne. If you ever go to our store one week and you go to the next week, for example, in some of our categories where there’s a lot of newness. So if you look at our food business, you’ll see lots of new brands that’ll go in there and they maybe weren’t there a few months ago. And you don’t tend to think of that area, but there’s a lot of special labels in there that really become hot and quality and country of origin from Italy to domestic brands. And that happens throughout the store, but there are definitely more areas where I think brands have become – it’s really going to be a big differentiator of us from I think everybody else, because so many of the retailers around us in apparel, by the way, the apparel world is going very specialty private label driven. And what will be neat about our businesses is the customer, she or he can walk in and see an assortment of different brands that, yes, you’d find them in depth in other stores, but they’re all going to be under one roof in a treasure hunch format if that makes sense.
Adrienne Yih: It totally does. And then Scott very quickly, we’ve been watching these container prices spiking over $5,000. And I guess the issue for us is, we’ve tried to go back and look at 2015 West Coast Port issues, but that was a U.S. specific issue. This is a global kind of the demand or supply issue. Are there any parallels to draw from that? Can you help us into P&L what is freight as a percent of sales? And I would imagine you’re better position because you have a lot more landed goods versus imports. So any color there would be helpful. Thank you.
Scott Goldenberg: Yes. I’ll let Ernie address the piece of what you – obviously as vendors and others have to bring the goods in what they’ll pass on and not pass on, because everybody has to pay the increased ocean container costs one way or the other, what gets passed through.
Ernie Herrman: Right. Yes. So I would say some of that gets mitigated when we buy through the brands. So a chunk of that gets mitigated because we go – our buyers look at what they can retail a goods at, and they factored into what the cost should be. And regardless of the vendor, whatever they pay for freight is, I don’t want to say it’s not our concern, but it’s kind of not our concern when our buyers, they’re pretty straightforward about how they work that. It’s something where we’re importing, which we do some of that business, then we’re going to get hit with that just like Scott said earlier.
Scott Goldenberg: Yes. In terms of the big picture on freight, it’s very difficult to start and you’ll see that when we’re just going to be starting to compare against our numbers in the first and second quarter, because we weren’t open for business for such large chunks of the business of the time. But if you’re going to compare fiscal 2022 to fiscal 2020, it’s – you’re in north of 60 basis points probably a two year impact of incremental basis points on freight. But it’s really going to be a tale of two stories. It’s going to be significantly weighted toward the first half of the year versus the second half of the year, because most – we had the big spike ups. A lot of for us is we’ll be renegotiating domestically our rail, our truck and our ocean in the middle of the second quarter. So we would hope to contract more capacity because a lot of what impacted us and others is having to go to more spot rates and just pay through than those that happened in the fourth quarter and a little what will be happening still. And also the mix of the goods was not ideal because the number one priority I think, Ernie would agree with me, make sure we were getting the goods and our teams did a great job to get the goods, but we were paying – we had to pay a premium in many cases. But we’re working on a lot of issues in our logistics area to reduce costs. And we think there will be opportunities, so we’ll be able to take advantage of as we move forward through the next year and beyond.
Adrienne Yih: Very helpful. Thank you. Best of luck.
Ernie Herrman: Thank you, Adrienne. All right. I would like to thank all of you for joining us today. We will be updating you again on our first quarter earnings call in May. And from the team here at TJX, we hope you all stay well, and we wish you good health and talk to you down the road. Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect. Thank you for participating.